Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Gaiam's Financial Results for the Third Quarter End September 30, 2015. Joining us today are Gaiam's Chairman, Jirka Rysavy; CEO, Lynn Powers; and CFO, Steve Thomas. Following some prepared remarks, we will open the call for your questions. Before we get started, however, I would like to take a minute to read the safe harbor language. The following constitutes the Safe Harbor statement of the Private Securities Litigation Reform Act of 1995. Except for historic information contained herein, the matters discussed in this call today are forward-looking statements and involve risks and uncertainties, including, but not limited to, general business conditions, integration of acquisitions, timely development of new business, impact of competition and other risk details from time-to-time as described in the SEC reports. The risks and uncertainties associated with these forward-looking statements are described in today's announcement and in the company’s filings with the Securities and Exchange Commission, including the company's reports on Form 10-K and Form 10-Q. Gaiam assumes no obligation to publicly update or revise any forward-looking statements. Today's call, taking place on November 5, 2015, includes non-GAAP financial measures within the meanings of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release, as well as the company's website. I would like to remind everyone that this call will be available for replay through November 19, 2015 starting at 7:30 PM Eastern Time tonight. With that, I would like to now turn the call over to Gaiam's Chairman, Jirka Rysavy.
Jirka Rysavy: Thank you, Jessica, and good afternoon everyone. So, revenue in the third quarter which ended September 30 increased 24.3% to $51.3 million, compared to last year $41.3 million. All revenue growth was organic. Revenue growth from our brand segment increased 23.5% to $47.8 million and excluded planned reduction of catalogue the revenue in Gaiam branding increased 35%, the revenue from Gaiam TV increased 37%. As anticipated revenue from our largest customers stabilize during the quarter and we expect the performance with our brand to return to growth in holiday season. We are also still enjoying continued momentum of our apparel launch. We continue to expand our store within the store program hitting about 1000 new doors in fourth quarter. Including a launch of about 650 doors in Bed Bath & Beyond this actually happening this month. Operating expenses for the quarter decrease 1200 basis points to 36.3% from 48.3%, and driving $5.2 million improvement and income from operations. Cash flow from operations for the first nine months improved $19.4 million and in the quarter have $20 million in cash in our balance sheet. Gaiam TV unit reported income of $2.1 million, up from the loss of $2.3 million in the same quarter of last year. To accomplish that at this current size Gaiam TV have to bring it’s gross down to about 37%. Gaiam TV was recently asked become part north with Apple TV in Amazon. Gaiam TV had decided to accelerated its name change and re-branding to GAIA into the fourth quarter of this year from the second quarter of 2016 as original planned and to delayed the timing of spin-off to the first quarter, in fact the new Gaiam branding premier just last week on Apple TV. Gaiam TV is also implementing close capturing of its tiles during the fourth quarter and preparation for the launch of Amazon as well as for translation into various languages. The website will be changing later this month to do new branding and URL gaia.com. The P&L impact on this new activities re-branding disclose captioning cost and those launches. In the fourth quarter is expected to be above $1.5million. We currently plan for the current Gaiam TV gross rate to continue until the spin-off and then to return to 85% growth rate reported last year. Gaiam now substantially completed the regulatory filings and Gaiam TV is in the process of NASDAQ registration in anticipation of the spin-off. And now Steve will tell you little more about financials. Steve?
Steve Thomas: Thanks Jirka and good afternoon everyone. Just a quick reminder we updated our segment reporting in the fourth quarter of 2014. Our new segments are Gaiam Brand and Gaiam TV. The Gaiam Brand segment includes all of our yoga, fitness, and wellness products including media that are distributed through our retail partners and websites plus our eco travel service. The Gaiam TV segment is our global, digital video subscription service. All figures discussed today reflect our continuing operations from these business segments. Beginning with the income statement net revenue for the third quarter increased 24% to $51.3 million, compared to $41.3 million in the same year ago quarter. Gaiam brand net revenue also increased 24% to $47.8 million. These revenues were partially offset by our planned pivotal way from the catalogue advertising in 2015, which impacted revenues by approximately $1.3 million in the quarter. Excluding declines from catalogue sales, the Gaiam brand net revenue increased 29% to $46.4 million. Lynn will discuss these business changes in a little more detail. Gross profit in the third quarter improved 21% to $21.9 million or 42.6% of net revenue compared to $18 million or 43.7% of net revenue in Q3 of 2014. The gross profit improvement was driven by the increase in revenue. The margin percentage comparison declined due to apparel having lower gross margins than our legacy brand business. However, apparel has no out bound freight or fulfillment costs and no inventory risk. Operating expenses in the third quarter of 2015 declined 7% to $18.6 million, compared to $19.9 million in the year ago quarter. As a percentage of net revenue, operating expenses were 36.3% in the third quarter, compared to 48.3% in the year ago quarter. The sharp reduction was due to the increase in revenue and reduced marketing expenditures and the subscription business and reduced advertising and catalogue spending as we streamline our direct-to-consumer channel, partially offset by new headcount for our apparel product line. Total segment margin was $4.5 million in the third quarter compared to a loss of $1.4 million in the year ago quarter, reflecting the improvement in operating leverage from our strong increase in revenue. Gaiam brand segment margin was $4.2 million, compared to $0.9 million in the year ago quarter driven by revenues from our successful apparel launch and the pivotal way from catalogue advertising in our direct-to-consumer business. Gaiam TV segment margin improved significantly from a loss of $2.3 million in the year ago quarter of $0.2 million in the 2015 third quarter. After subtracting unallocated corporate expenses, income from operations in the third quarter was $3.2 million compared to a loss from operations of $1.9 million in the year ago quarter. The $5.2 million improvement in operating income in the third quarter compared to the third quarter of last year again shows the leverage we can achieve from increased revenues and the planned reduction in catalogue advertising and controlled marketing spend. Before moving to our balance sheet, please note that the loss from discontinued operations in our P&L, included $10.7 million or $0.44 per share in costs associated with the Cinedigm arbitration and settlement including a non-cash charge of $7.3 million for the working capital receivable from Cinedigm. We entered into the settlement to eliminate the uncertainty and risk inherent in any litigation to significantly reduce the professional fees and costs that the litigation would require, and significantly reduce the distraction imposed by the process on management. We believe we’re adequately accrued for the pending arbitration and do not expect any material additional settlement amounts beyond the current estimate. Hopefully, we are close to putting this issue behind this. We ended the quarter with total cash of $20.1 million and no debt. Our current ratio at September 30, 2015 was 1.7. This metric continues to reflect the health of our balance sheet and our ability to fund our growth. Inventory turns ticked up to an annualized rate of 7.2 times in the quarter compared to 4.6 times in third quarter of last year due to inventory reductions from plan changes in the direct-to-consumer catalog business, increased revenues and our programs to direct ship inventory from our factories to our customers. The direct import programs help us to utilize our working capital more efficiently and lower our operating costs. We had $87 million of federal and $40 million of state NOLs at the end of the quarter that are not reflected on our balance sheet. Capital expenditures were $2.7 million, depreciation and amortization was $1.3 million and stock compensation expense was $0.2 million for the quarter. With that, I would now like to turn the call over to Lynn, who will provide some additional detail on our business after which we will be opening the call up for questions. Lynn?
Lynn Powers: We continue to execute our vision to make Yoga, fitness and wellness accessible to everyone. I think you will agree that we made some real progress in this regard during the third quarter, but first I will offer some additional color on the quarter’s results. We are pleased to report revenue growth of 24%, our exclusive Kohl’s yoga apparel line with the major contributor to our strong third quarter performance and our overall revenue continues to exceed our expectations. We are excited about our new initiatives and new placement to continue to drive 20% revenue growth in our business channel in the fourth quarter of 2015. As Steve mentioned, our revenues continue to be impacted our strategic decision to pivot our catalog driven direct-to-consumer business to a digital center, consumer engagement strategy for the Gaiam and SPRI brand. We stopped circulating Gaiam consumer catalogs in the second quarter, which reduced revenues by lower $1 million in the third quarter. We will only circulate our SPRI and Gaiam pro-catalogs to the professional market going forward. As we previously discussed, we expect the $5 million to $6 million revenue decline in our direct business in 2015, but in annual improvement in operating income of approximately $3 million. We are still on track to hit those numbers. We continue to revolve our ecommerce experience to focus on engaging customers with our large light array of exclusive digital content and it begun a new focus on social and mobile marketing. With the acquisition of Yoga Studio, the leading paid yoga app for Apple mobile and tablet devises which now has over 1 million downloads. We continue to increase our reach and engagement of the mobile centric yogi. We will launch our new mediation app in the fourth quarter and we will continue to unveil our digital strategy which includes expanding our app offerings and extending our apps to new device platforms. As an example we launched Yoga Studio on the new Apple TV platform last week. Going into the next year, we planned to increase our investment in online branding and digital consumer engagement both on our own platforms and those of our key retail partners. We believe our talent relationships, content library, digital production capabilities and digital platforms like apps give us a unique competitive position in the yoga, fitness and wellness market. We launched improved fulfillment and logistic services for our SPRI and Gaiam brand websites during the quarter that shifted those functions to more variable cost model. These services integrate seamlessly with our customer care team and most importantly ensure that our customers continue to receive an exceptional online shopping experience. As previously mentioned revenues at our largest customers stabilized in the quarter and all of our top items are now back in stock. In addition, this customer will double the square footage allocated to yoga products in 2016 across the majority of their doors and we are proud to say they have chosen to expand their partnership with Gaiam for this incremental self-space. We have developed a good, better, best product strategy for yoga and that is scheduled for February in-store launch. This quarter we expanded our hard goods assortment at Kohl’s to include 19 new fitness skews, we expect to add around 1000 new stores in stores in the fourth quarter including but best in beyond which rolls out to 650 of their doors in November. Kroger the largest grocery chain in the U.S. will also place the test and may see will began an initial test of Gaiam pro yoga accessories in the fourth quarter. Now I would like to provide an update on our key growth initiatives. As you know from our earlier discussion our first and largest initiative is building our yoga apparel business. Our exclusive apparel line Kohl’s continued to exceed our revenue expectations. And our strategy to expand the line continues to progress nicely. In fact, our plus size offering will be available at Kohl’s online beginning in spring 2016. We are very excited to introduce our plus size of apparel line along with our kid’s and men’s accessories lines is it fits right into the strategy I mentioned in my opening remarks, namely our mission to truly democratize yoga fitness and wellness. We continue to communicate with the department and sporting goods stores both domestically and broad regarding an extension to our existing apparel strategy. Focusing on more advance design from materials for the Gaiam customer who wants even more from our yoga apparel, in fact during the quarter we ask our consumer for input as to what to brand this new apparel offering by popular demand Gaiam Pro was the winner improve their underscores the brand equity that Gaiam is built in the consumers mind when it comes to yoga fitness and wellness. We look forward to announcing our next partner under this new banner when appropriate. Our second major growth initiative focuses on the wellness product category. Currently, we service this category through our Gaiam Restore and SPRI Dynamic Recovery and active therapy lines. Together these brands offer wellness solutions to consumers that address a variety of needs. We’ve applied our product development and merchandising capabilities to the category and now offer full four foot store within store set for both of our wellness brands. Our current performance line is marketed towards individuals looking to improve flexibility and overall physical help. Based on our success and wellness which is growing at over 30% this year we are now adding three new and expanded product categories for 2016 that will cater to different markets. Based on retailer feedback we are testing a new Gaiam sub brand, Gaiam wellbeing which addresses condition specific wellness areas such as back pain and stress release. This new sub brand leverages the brand equity of the flagship Gaiam brand and it accommodates the needs of new accounts such as pharmacy and grocery channels. We are working with Walgreen for 30 door tests in early 2016 on this new wellbeing offering. We believe this is expanded wellness line as the opportunity to be one of our top categories in the future as more and more retailers lot to become well these destinations for their customers. We are also researching more products to add to our active fitting wellness initiative. Our balance share has always been one of our top selling products online and it’s just recently been placed in-store with great result. We just kicked off the project to develop new designs in a good better best strategy for active sitting. Finally, we just added a line of Gaiam relax accessories for 2016 that will focus on sleep, stress release and meditation. We believe this new Spa inspired line of products will be an added attraction as we expand our stores in stores concepts at our current key retailers. Our third growth initiative is to expand the demographics of our consumer bases. We know there nearly 80 million people that are interest in yoga but not yet practicing. To attract them we continue to add new product categories including our yoga for athlete’s line of media and accessories then include longer and denser mats and athletic video programming and instruction These mats and blocks are currently doing very well at retail and we believe that the category will continue to gain momentum. This product is currently in 150 doors at the sports authority and 60 doors at decks. For 2015 mark the launch of our yoga kid’s media and accessories. Target did a 350 store in cap test and it performed quite well. Some of the top selling SKUs include Yoga Socks, Stay-N-Play Balance Ball as well as our yoga for family media programming. Target will continue to offer these products online and in the majority of their stores in 2016. We expect to leverage our new men’s and kid’s yoga lines to open new channels of distribution including specialty and children’s stores. Our fourth growth initiative is to grow our international business. As it is currently represents less than 6% of our revenues. We believe there is a huge opportunity to address the yoga fitness and wellness business abroad and to do so as successfully as we've addressed it here in the U.S. Our strategy is focused on adding distribution in Europe and parts of Asia by utilizing a mix of direct relationships, distributors, and sales agents. While the strong U.S. dollars impacting demand in the near-term, we will be expanding into central Europe through dedicated space in 300 Tesco stores in addition to our placement in Tesco U.K. Multilingual packaging was developed during this quarter and shipments will roll-out in January. We opened Amazon U.K. China, Germany, France and Mexico during the quarter. We were just awarded the official yoga partner at John Lewis in the U.K. and are developing a world of yoga presence in three key stores to test this initiative. Canadian Tire is expanding from 25 to 85 SKUs in 400 locations including our Gaiam SPRI and cross-cut offerings. We are optimistic that this presence will provide a springboard for increased distribution in the U.K. and Europe. Looking ahead, excluding the $2.2 million revenue decline from our reduced catalogue circulation, we expect the Gaiam brand segment revenues to grow approximately 20% in the fourth quarter of 2015 and to generate incremental margin in the 15% to 25% range. The low end of that range results from additional investments that we may make to expand our apparel in the international businesses. This incremental margin began to materialize in the second and third quarters and we expect to continue to improve in the fourth quarter of 2015, as our stock levels at our largest customer begin to comp positive and we continue to ship our apparel line. The improved income from operation on increased revenues shows the power of the operating leverage that we have as we continue to grow our business. In closing, it’s important for us to connect and engage with our consumers by creating a true destination for the yoga fitness and wellness consumer that will address all of their needs, easy-to-use apps, engaging subscription content, affordable yoga clothing, and our broad selection of yoga fitness and wellness accessories. In partnership with Gaiam, our retailers can offer their customers a unified branded assortment of yoga apparel accessories and engaging content that no other brand can offer. All of this gives us confidence that we'll be able to grow our business and drive strong top and bottom line growth for the rest of 2015 and beyond. This concludes our prepared remarks I'd like to turn the call back to the operator for questions. Jessica?
Operator: Thank you. [Operator Instructions] And we’ll first take Chris Krueger from Lake Street Capital Markets.
Chris Krueger: Hi, good afternoon.
Steve Thomas: Hi, Chris.
Chris Krueger: Hi, just a couple of question. With Kohl’s, I believe we have an exclusive agreement through I believe March of 2016. Is there kind of like a pipeline potential new additional partners that you are working with to expand as you get into 2016, you think it will be more stores one year from now?
Lynn Powers: Absolutely, Chris. We actually exclusive goes through the end of April, so we are actually working on our yoga pro line for delivery for fall 2016. And hopefully on our next call we’ll be able to launch our - announce our new partner for that.
Chris Krueger: Okay. Then on Target, I know you got some expansions going on there. I might have missed on the call, but you are indicating the timing of when they are doubling their store space for yoga. And do you expect 2016 to be clear year of growth with that customer?
Lynn Powers: Yes, the new yoga space will launch in February as they do their reset and we will continue to expect to see comp growth with that customer in 2016 as well as in fourth quarter of 2015.
Chris Krueger: Okay. And the last question shifting over to Gaiam TV, I believe you stated that the spin-off is likely going to be in the first quarter so I guess that answer that question, but can you give us some subscriber details, how many?
Stephen Thomas: And on the quarter we have about 130,000.
Chris Krueger: Okay. And do you have now prior year-to-year?
Stephen Thomas: I don’t, and so the growth is it’s little probably one of the subscribers does lives here because they want to be profitable, we slow the growth to 37% and target was always 35% and not been 37% out of 85% and we cannot spend to continue this growth above this 35%, 37% still the spin-off and then go back to 85% growth. We ended a little bit ahead of our plans or subscribers, but to keep our - we also ended little bit overhead of our final profitability in the third quarter.
Chris Krueger: Good. That’s all I got. Thanks.
Lynn Powers: Thank you.
Operator: And we will now go to George Kelly from Craig-Hallum Capital Group.
George Kelly: Hi guys, I’ve few questions. First on the TV business a year Jirka, you mentioned a partnership with Apple and Amazon. I am just wondering if you could talk about what that means and what do you expect the financial impact from those partnerships whatever you can say about that would be helpful?
Jirka Rysavy: It’s basically similar deals as we had so far with Verizon and Comcast so it’s kind of distributors [indiscernible] Gaiam TV launch last week, but it’s a new Apple TV device that start to ship I think this Friday, so the impact may take a little bit so they have enough devices because it’s basically that’s all time to this new approach what Apple is having, Apple typically have good success on those launches, but it’s very hard to predict, so it’s very hard for me to speak. And Amazon I don’t want to even talk because that’s not even launched and that’s not 100% sure, but we hope that that will happen this year, but it’s very too early to say what would be the impact.
George Kelly: Okay, so it’s hard to quantify the impact, but with the Apple TV partnership what does that look like, does that just allowed consumers sort of easy availability to download the content and pay per user does it really sort of push people under subscription plans, how does it look?
Jirka Rysavy: Yes, it’s not platform like what we would say Roku, Roku is just [indiscernible] access Gaiam TV, but you subscribe through Gaiam TV site with Verizon and Comcast or Apple that you actually pay to Apple and they actually market the service.
George Kelly: Okay, got you. And then…
Jirka Rysavy: It’s like an earnings share.
George Kelly: Sure, okay. And then switching over to the branded business, Lynn wondering if you could talk about what you’ve seen now that your six points intro with Kohl's what’s been surprising there what’s worked well and maybe what hasn’t. And then this is the original $15 million to $20 million if sales to the expectation does that moved around at all?
Lynn Powers: I will reiterate that we’ll be at the high end is what we said and $15 million to $20 million range, I think it’s been surprising to us and pleasing to us, the sales on are yoga fit, our Om capris pant has been one of their top selling items and it continues to do so and the comments that we are getting from consumers about finding a yoga path that really fits everyone, goes right along with our strategy of yoga fitness and wellness for everyone. So that’s been by far the winner I think what hasn’t worked this well is few of the dresses which would be for after yoga, those have done really well online, but not as well in the stores we would have liked. So - but by far our strongest item are at bottom.
George Kelly: That’s great and then last question for me about you mentioned 1,000 new stores how big have an impact what your expectations are on Bed Bath & Beyond, is it all shipping in the fourth quarter.
Lynn Powers: Yes, the initial set is shipping this month.
George Kelly: Okay and what are the other I think there is accounting for 650, right what are the other?
Lynn Powers: Well, I said Macy’s we are going open up test at Macy’s we are open the end of the test at Kroger and then we have some additional more line vitamin shop, vitamin world kind of stores. So we expect will and we are also launching that fitness set in Kohl’s. So that’s about 19 skews I think I said. So we are putting an additional set there as well as active sitting in all Kohl stores.
George Kelly: That’s great and actually I do have one more question. The target 2016 doubling the yoga it set seems like a huge deal. Can you may be part me down.
Lynn Powers: No, from four feet to eight feet and will have the whole good better best strategy and they will have an exclusive line of yoga products by Gaiam that will exclusive four target. So we are very excited about it we think its huge opportunity.
George Kelly: Great thank you.
Operator: [Operator Instructions] We will now go to [indiscernible].
Unidentified Analyst: Good afternoon thanks for taking my call. A couple of questions what’s delaying the spin-off are there any specific things you can call out that delaying spin-off the TV.
Steve Thomas: No we said in the release that you know we have these opportunity to launch in the two more partners in a very substantial and we kind of one or to do it earlier because the original plant and brand - rebranding like in April and so we kind of move into this year and that also of costs to accelerate gross capturing customer is bigger players need to everything close caption where for like Gaiam TV size player it just kind - it just title of certain data. So we have to kind of change that and plus we still in the process was not longer than plan.
Unidentified Analyst: Okay and there is no technical one thing there having trouble with our comments from the SEC?
Steve Thomas: We just get - we recently got it, just the letter from the approval of kind of note - kind of comments that for - right now, no more comments on our Form-10. So we just really would processing now, but we have plenty of time. So I don’t expect any problem there.
Unidentified Analyst: Okay. And then on TV you mentioned, you are growing at 35%. But I think you said, but want to go to 85%. Can you walk me through what you do to I mean that sounds like great growth. But how does one just decide to grow 85% just a matter of spending and where would that spend be?
Jirka Rysavy: Well, yes, it’s question of the marketing costs, how much we willing to spend. For the new customers, you know last year we spend about half of our lifetime value for the customers, this year we are spending about 20%. So it’s about 37%, we grew right now, it’s pretty good rate for regular company but not for, it’s way too small to grow just 37%. So we expect to go back to that, and it’s purely just managing the cost per new customer.
Unidentified Analyst: Like where - what’s the marketing channel to acquire a customer that so efficient that you know that spending more, mostly but when they spend that kind of marketing dollar, kind of don’t know where that customer is going to come from. It sounds like you’ve got a better laser focus, so where do you spend the money and where do you pull them from I guess.
Jirka Rysavy: Yes, we did 85% last year, so it’s more of the question of the CPA, the cost per acquisition is and then the channel status dramatically change. But the biggest change is in the paid media, we were a little paid media right now, we could focus more on CEOs and kind of internal, kind of ambassador program, and actually spending on media. So that’s kind of the biggest difference. That is you can - the growth is, you can somewhat manage the range of course if you would want to go over 100, the cost would increase. So it’s kind of up to the point, we kind of think this like 85% to 90% is probably for us to obtain to grow as kind of cost efficiencies. But always you have the customer growth will be a little always ahead of the revenue growth because you get them just for part of the year plus the first months of just $0.99. So you’re always customer growth ahead of revenue growth.
Unidentified Analyst: Got it. And then switching gears to the branded side. In those doors that are pop-ups, will that last beyond the holidays and I don’t know just mean, January to do some [indiscernible] or something like that. But is there a thought that those could be permanent instillations in the Bed Bath & Beyond and some of these others.
Lynn Powers: Absolutely. I think so many stores right now are kind to be along this destination for that consumers as they see wellness as a big growth opportunity. So yes, that we don’t expect this to just be a fitness and pop-up, we expect this to be a permanent…
Unidentified Analyst: So the Bed Bath & Beyond, you are going in with the assumption that those doors stay open through this fourth quarter and all of next year?
Lynn Powers: Yes, Jack that’s correct.
Unidentified Analyst: Right. Thank you.
Operator: [Operator Instructions] We’ll now go to Peter Rabover from Artko Capital.
Peter Rabover: Hi, guys. Can you hear me?
Jirka Rysavy: Yes.
Peter Rabover: So, this is more of a comment than a question because I think a lot of people have already asked this, but maybe you guys can talk about you strategy for the spin I mean it’s obviously to create value for the shareholder, but it doesn’t seem like you guys are interested in reporting numbers, promoting it and do you guys have a strategies going forward to doing something like that?
Stephen Thomas: I would assume that together with their spin we will kind of probably go on the road to kind of talk about it so people know what it is, so yes.
Unidentified Analyst: Okay, that’s good. And so I mean it just frustrate I guess is what I’m getting at. And maybe the second question is on your cash and your capital allocation strategy going forward, it seems like you are not - you’ve driven very little cash to the TV business once it spins-off so you’ll get to keep $20 million plus whatever, you start earning cash flow positive going forward. So that’s going to be substantial part of the market cap so any thought to that?
Stephen Thomas: We are not going to comment on that too until we have the final blessing for the board.
Unidentified Analyst: Blessing for what?
Stephen Thomas: For the spin-off and how much capital and all the stuff that will happen in the board meeting before the spin-off.
Unidentified Analyst: Okay, thank you. I appreciate the color.
Lynn Powers: Thank you.
Operator: And we will now go to a follow-up question from George Kelly from Craig-Hallum Capital Group.
George Kelly: Wondering if you could talk about the building and the sales process, is that still something you are considering?
Stephen Thomas: Yes, we kind of finish now everything on a building; we still have one tenant kind of renewing the lease right now and the plan B to sell the building after the spin-off.
George Kelly: And what is the expected amount that would generate?
Stephen Thomas: Well, we see how the market - it’s on the book for about $18 million, we expect to get slightly better than that.
George Kelly: Okay, thanks.
Operator: At this time that concludes our question-and-answer session. I would like to turn the conference back over to Mr. Rysavy for closing remarks.
Jirka Rysavy: Thank you everybody for - and our next call probably - our regular scheduled call will be somewhere like early March. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.